Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Atmos Energy Corporation Fiscal 2025 Fourth Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Dan Meziere, Vice President of Investor Relations and Treasurer. Dan, please go ahead.
Daniel Meziere: Thank you, Tiffany. Good morning, everyone, and thank you for joining us. With me today are Kevin Akers, President and Chief Executive Officer; and Chris Forsythe, Senior Vice President and Chief Financial Officer. Our earnings release and conference call slide presentation, which we will reference in our prepared remarks, are available at atmosenergy.com under the Investor Relations tab. As we review our financial results and discuss future expectations, please keep in mind that some of our discussion might contain forward-looking statements within the meaning of the Securities Act and the Securities Exchange Act. Our forward-looking statements and projections could differ materially from actual results. The factors that could cause such material differences are outlined on Slide 37 and are more fully described in our SEC filings. I will now turn the call over to Kevin.
John Akers: Thank you, Dan. As Tuesday is Veterans Day, I would like to take this opportunity to thank those who have served in our armed forces and those currently serving. Approximately 300 of our Atmos Energy teammates are a part of the 18 million Americans who bravely served our country. Thank you for your service. Yesterday, we reported diluted earnings per share of $7.46. This marks the 23rd consecutive year of earnings per share growth. Fiscal '25 also represents the 41st consecutive year of dividend growth. Our fiscal year results reflect the focus and dedication of the entire Atmos Energy team and their continued successful execution of our proven strategy of operating safely and reliably while we modernize our natural gas distribution, transmission and storage systems. Their exceptional work has us well positioned for fiscal '26 and beyond. During fiscal '25, we continue to experience solid customer growth, adding approximately 57,000 residential customers with over 44,000 of those new customers located in Texas. We also added nearly 3,200 commercial customers and 29 industrial customers during fiscal '25. When these industrial customers are fully operational, they are anticipated to consume approximately 4 Bcf of gas annually. This usage is equivalent to adding over 74,000 residential customers on a volumetric basis. Over the last 5 years, we have added nearly 300,000 residential and commercial customers. And over the last 5 years, we've added 225 industrial customers with an estimated annual load of 63 Bcf when fully operational. On a volumetric basis, this is equivalent to adding nearly 1.2 million residential customers. This growing natural gas demand from all of our customer classes continues to demonstrate the vital role natural gas has in economic development across our entire service territory. According to the Texas Workforce Commission for the 12 months ending August, the seasonally adjusted number of employee Texans reached 14.35 million. Texas again added jobs at a faster rate than the nation over the last 12 months, growing at a rate of 1.14%. And Texas was recently ranked the Best State for Business for the 21st year in a row by Chief Executive magazine. According to the North Central Texas Council of Government, the current population estimate for the Metroplex is approximately 8.6 million people as of April 2025. And many analysts project the Metroplex to be the third largest metropolitan area in the U.S. by 2030. The U.S. Census Bureau has the population for Texas at 31.3 million and it is projected that Texas will reach a population of 32.4 million by 2030. Now turning to Atmos Pipeline-Texas. Our Bethel to Groesbeck project is nearing completion of approximately 55 miles of 36-inch pipeline from our Bethel storage facility to our Groesbeck compressor station. This project will provide additional pipeline capacity to transport gas from our Bethel storage facility into the growing DFW Metroplex and the Interstate 35 corridor between Waco, Temple and Austin. This project is anticipated to be in service late this calendar year. APT's Line WA Loop Phase 2 project is also nearing completion of approximately 44 miles of 36-inch pipeline. This phase of the multiyear project will provide additional pipeline capacity from our Line X to the northern areas of the growing DFW Metroplex. This phase is anticipated to be in service late calendar year 2025. APT completed our integrity inspection and verification per Texas code for our Bethel Salt Dome caverns 2 and 3, and we have begun the integrity inspection and verification work on our Bethel cavern #1. This work is expected to continue into late calendar year 2026. Turning to our updated 5-year plan through fiscal 2030. Focus continues to be on safety and reliability through system modernization, being mindful of customer affordability, timely recovery of our costs through our various regulatory mechanisms and maintaining a strong balance sheet. Following our robust 5-year planning process, we plan to invest $26 billion with approximately 85% of that planned investment allocated to safety and reliability. This investment will support the continued modernization of our natural gas distribution, transmission and storage systems and support the growing natural gas demand across our jurisdictions. Approximately $21 billion or 80% of our total planned capital spending is expected to be incurred in Texas. The 5-year plan reflects the impact of Texas House Bill 4384 on our earnings. As a reminder, House Bill 4384 reduces lag in Texas by permitting gas utilities to defer post in-service carrying costs, depreciation and ad valorem taxes associated with non-eligible Rule 8209 capital investments, such as customer growth and system expansion. With the passage of House Bill 4384, we will now begin to recover over 95% of our capital spending within 6 months and 99% within 12 months. We believe the successful execution of our strategy will support earnings per share growth at 6% to 8% from the midpoint of our rebased fiscal '26 EPS guidance. Additionally, we intend to grow the dividend in line with earnings per share growth. Now I'll turn the call over to Chris, who will provide some additional color on fiscal '25 and the fiscal '26 5-year plan, and I'll return later with some closing comments. Chris?
Christopher Forsythe: Thank you, Kevin, and good morning, everyone. We appreciate you joining us this morning. Before getting into the details of our fiscal '26 5-year plan, I want to share a few highlights from fiscal '25. As Kevin mentioned, fiscal '25 earnings per share was $7.46. Included in this amount is $0.12 resulting from the adoption of Texas House Bill 4384. Approximately $0.09 was recognized in our distribution business and the remaining $0.03 is recognized at APT. Consolidated capital spending increased to $3.6 billion, 87% dedicated to improving the safety and reliability of our system. In fiscal '25, we replaced over 880 miles of distribution and transmission pipe and nearly 54,000 service lines and rate base increased by 14% to an estimated $21 billion as of September 30. Consolidated O&M, excluding bad debt expense of $874 million came in slightly above the midpoint of our updated guidance for fiscal '25. O&M spending continued to focus on system monitoring and damage prevention activities. We also experienced higher employee-related costs, primarily due to increased headcount to support growth and higher employee training and administrative costs. We had another busy regulatory calendar in fiscal '25. We implemented $334 million in annualized operating income increases excluding the amortization of excess deferred tax liabilities. We also completed general rate cases in Kentucky, portions of our Mid-Tex division and in our West Texas division. Finally, we finished the fiscal year with an equity capitalization of 60% and approximately $4.9 billion of available liquidity, which leaves us well positioned to support our future operations. Of this amount, $1.6 billion relates to forward equity proceeds that we get priced through our ATM program. This amount fully satisfies our fiscal '26 equity needs and a portion of our anticipated fiscal '27 equity needs. Looking forward, we have initiated our fiscal '26 earnings per share guidance in the range of $8.15 to $8.35. Because of the impact from Texas House Bill 4384, we are rebasing our earnings per share guidance beginning this fiscal year. From the midpoint of this rebased guidance range, we anticipate earnings per share growth of 6% to 8% annually, with anticipated earnings per share in fiscal 2030 to be in the range of $10.80 to $11.20. Additionally, this week, Atmos Energy's Board of Directors approved a 168th consecutive quarterly cash dividend with an indicated fiscal '26 annual dividend of $4, a 15% increase over fiscal '25. This increase reflects a rebasing of the dividend to align with the rebased earnings per share guidance. Our updated 5-year plan assumes that we will increase the dividend annually in line with earnings per share growth. Over the next 5 years, we are planning approximately $26 billion in capital spending, with over 85% of our capital allocated to safety and reliability spending. This level of spending is expected to support 13% to 15% annual rate base growth. By the end of fiscal 2030, we anticipate rate base to approximate $42 billion. And in fiscal '26, we anticipate capital spending will approximate $4.2 billion. Approximately $21 billion or 80% of our 5-year spending plan is currently allocated to Texas. Of this amount, approximately $15 billion is planned in our Texas distribution division and approximately $6 billion is planned at APT as it continues to focus on gas supply reliability and supply diversification while fortifying its system to support the growth of its LDC customers. As a reminder, our Texas distribution operations have deferral mechanisms to support the recovery of safety-related spending. Texas House Bill 4384 applies similar deferral treatment to our remaining capital spending in our Texas distribution business and to all of APT's capital spending. As a result, we will now begin to recover 95% of our capital spending within 6 months. We anticipate that approximately 60% of the impact of Texas House Bill 4384 will be recognized in our distribution segment over the 5-year plan. From a revenue perspective, we have assumed normal weather, market conditions and modest customer growth in both of our segments. In fiscal '26, most of our regulatory outcomes are anticipated to come through the execution of our annual regulatory filing process. For these filings, we are assuming existing ROEs, capital structures and regulatory features, meaning we are not assuming the approval of new mechanisms or other new regulatory features. Since the beginning of fiscal '26, we have implemented $146 million in annualized operating income increases in our distribution segment. Of this amount, $139 million relates to the implementation of our annual rate review mechanism in Mid-Tex. Regarding O&M, we continue to assume 4% annual increases driven by system safety, system monitoring and damage prevention activities and employee costs, and we will continue to evaluate options to accelerate compliance-related work as system conditions dictate or other opportunities arise. For fiscal '26, we currently anticipate O&M, excluding bad debt expense to range from $865 million to $885 million. Finally, this 5-year-plan includes approximately $16 billion in incremental long-term financing to support our operations and cash needs, including the expected payment of the corporate alternative minimum tax beginning in fiscal '27. We will continue to use a combination of long-term debt and equity to preserve the strength of our balance sheet, minimize the cost of financing for our customers and reduce financing risk. And we continue to anticipate meeting all of our equity needs through our ATM program. As a reminder, this incremental financing is included our earnings per share guidance for both fiscal '26 and through the 5-year plan ending in fiscal 2030. Thank you very much for your time this morning. Now I'll turn it back over to Kevin for some closing remarks.
John Akers: Thank you, Chris. Our operational and financial execution in fiscal '25 has laid the foundation for continued success into fiscal '26 and beyond. Our 5-year plan supports our ability to meet the safety, reliability and economic development expectations of our customers, our communities and our key stakeholders across the service territory. As you've heard me say before, the things that differentiate Atmos Energy are that we operate in a diversified and growing communities that are supportive of natural gas and our investment in natural gas infrastructure to supply their growing economy and energy needs. That 96% of our rate base is situated in 6 of our 8 states that have passed customer choice for all fuels legislation. We operate in regulatory jurisdictions that support reliability, versatility, abundance and affordability of natural gas and the modernization of our natural gas distribution, transmission and storage systems to provide safe and reliable delivery. The strength of our balance sheet and available liquidity. We have a weighted average cost of debt of 4.2% with an average maturity of 17.5 years, and currently have $4.9 billion in liquidity. That our residential customers' average monthly natural gas bill is again expected to remain the lowest utility bill in the home. Consistent performance, 23 years of consecutive earnings per share growth and 41 consecutive years of dividend growth. That all 5,500 of us here at Atmos Energy proudly serve our customers and our communities as we continue to be guided by the simple values of our Founding Chairman, Charles K. Vaughan of honesty, integrity and good moral character. Those differentiators will continue to support the vital role we play in every community to safely deliver reliable, efficient natural gas to homes, businesses and industries to fuel our energy needs now and in the future. We appreciate your time this morning, and we'll now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeremy Tonet with JPMorgan Securities, LLC.
Unknown Analyst: This is [ Eli ] on for Jeremy. Just wanted to start on maybe some of the larger load customers you guys are seeing across your service territory. I recognize that the refreshed capital plan contemplates a lot of that demand. But can you just talk about and help quantify what's in the plan? And then what could kind of be incremental to that and just bifurcating those two?
John Akers: Yes. Again, as Chris said on the front end, there -- we've got 85% of our spend is dedicated towards safety and reliability. We do have some modest growth included in the plan as well. But again, most of that is going to be focused on safety, reliability. We do have some additional fortifications that are in that to support that growth. That our long-range planning models have indicated we need because of the folks moving into Texas and the demand anticipated with them coming in and the load from their use of natural gas. And then any other thing that will be outside of that will be probably driven by safety, reliability and anticipated fortifications to handle that additional growth.
Unknown Analyst: Great. And then maybe just talking a little bit about capital recovery. I know that you guys were able to kind of ratchet up the speed there? And can you just kind of talk about a little bit more about how you're able to -- how that flows into the plan and optimizes growth going forward, just recognizing that's kind of some of the best capital recovery out there.
John Akers: Yes. Again, we're very blessed with the jurisdictions we serve in, and they recognize and support natural gas and our need to fuel these communities and meet the needs of all stakeholders, our communities, the state legislative bodies and the overall demand for natural gas. But I'd also say that we haven't sped anything up. This has all been part of our planning process since 2011, 2012, and identifying the needs of the system, both safety, reliability and growth. So this has been on the same cadence year after year. And through our robust planning process, we go out and identify and look at our systems each year for the need, not only for population and demand growth, but also from the safety, reliability need, fortification needs. So this is all well laid out, well-orchestrated through the demand models, the integrity models, the forecasting of population growth. Year after year, we repeat that same sort of process. And that's what drives the investment at the end of the day.
Unknown Analyst: Awesome. Yes. And then just if I could squeeze in one more, apologies. But just I think the 2030 implied range is about 7.5% off the '26 midpoint. So is it kind of fair to say you guys are targeting the upper half of the CAGR?
Christopher Forsythe: Jeremy, this is Chris. We talked about a 6% to 8% growth rate off of the rebased guidance range from the midpoint. So that falls in line with that 6% to 8% expectation, and that's what we're intending to pursue at this point in time.
Operator: Your next question comes from the line of Nicholas Campanella with Barclays.
Fei She: This is Fei for Nick today. Maybe I just want to double-click on the EPS rebase, if I could. Now seeing over 95% of CapEx is recovered within 12 months comparing to the previous 90%. Would you be able to just parse out how much incremental reg like improvement are you seeing in this refresh plan? Is it mostly coming from the Texas legislation? Or is there something else baked into the assumption?
John Akers: Yes, I'll start, and Chris can add if he wants to. Yes, as we mentioned in our opening remarks, it's all coming from the House Bill 4384. Again, our plan has been the same year after year on how we approach the capital budget. It's by identified projects and needs of the system and supporting the growth. And this 4384 will now allow us to include APT's investment into its system as well.
Christopher Forsythe: Yes. And Nick, this is Chris. I'll just remind you, again, on our regulatory cadence, annual funding mechanisms are contemplated throughout the 5-year plan. We have a couple of small general rate cases that we plan to execute this year. But the overall theme there is the recoverability, and we assume in this 5-year plan that there's no new regulatory features, no new deferral mechanisms, regulatory asset treatment. It's basically we plan it based on what we know and have today.
Fei She: Understood. That's very helpful. And if I could, just on O&M budgeting for '26. Could you just help clarify on how are we getting to a lower assumption for '26 and how those ramping to a 4% annual increase would evolve going deeper into the longer term?
Christopher Forsythe: Yes. I think that the guidance that we put out there is pretty much -- the midpoint of the guidance is pretty consistent with where we were this year. We had some opportunities in fiscal '25 to spend some additional O&M dollars and compliance-related activities. As we saw market conditions at APT materialize, particularly in the late in third and fourth quarter. So we kind of reset the O&M plan based on what we need to do from a compliance perspective, what we want to do from a system monitoring, system -- damage prevention activities. And then, as I said, we'll continue to evaluate that O&M throughout the year. And if system conditions dictate or other opportunities arise, we'll evaluate options and alternatives to pursue further compliance and safety-related spending.
Operator: Your next question comes from the line of Gabriel Moreen with Mizuho.
Gabriel Moreen: So Waha gas prices have been on a bit of a wild ride the last couple of weeks. I'm just wondering to what extent you've incorporated some of the deeply negative prices here that we've seen over the last couple of weeks into your guidance for '26, and maybe what you're assuming for the rest of the year as far as your Waha outlook?
John Akers: Yes. As we've done with all of our 5-year plan roll forwards, we do not incorporate that in. We assume normal activity. We continue to monitor and look at that. We're still very early into the season right now, just basically just out of October, if you will. So it's something we'll continue to keep our eye on as we move forward, but we do not try and use a crystal ball to forecast what's going to happen with that market at all. And we'll continue to keep you updated on our quarterly calls.
Christopher Forsythe: Gabe, you know, too, that all that activity to the extent that it materializes, 75% of that impact flows back to the benefit of our customers. So well, like Kevin said, we'll keep an eye on it. And we'll provide updates as we move through the fiscal year.
Gabriel Moreen: And then maybe if I could follow up, it looks like you raised your long-term gas price assumption in the 5-year outlook. Can you just talk about drivers behind that, if there's anything beyond the forward curve? And also was that an impact at all and maybe slightly moderating your kind of CapEx CAGR within the context of kind of how you're viewing customer builds over the medium to long term?
John Akers: Yes. That's just the forward curve that's out there that we have available to us now. And again, I think if you go back and look at what we projected in that long history on that slide, whether it's Page 23 or 24 there, we generally have come in under that. So right now, that's just a forward-looking curve. We're projecting outward on our customer bills. And again, probably point you to the Pages 23 through 25 there as we talked about customer bills and going forward. And I'd like to remind everybody that when we look at the household bills overall, our natural gas residential bill is again expected to be the lowest bill in the household going forward into '26 at this point. We continue to remain anywhere between 2 to almost 5x more affordable than our electric counterparts in each of our states and jurisdictions that are out there. And again, there's a slide out there on percent share of wallet for our customers as well, and we remain right at or below the natural gas industry average for a percent of wallet share and about 2 to 3x below the percentage of wallet share on the electric side. So I believe we're extremely well positioned right now and always keep affordability at top of mind. That's part of our both short term, mid-term and long-term planning process as we look at investments, we always run through what the potential impact may be on our customer base as well. But again, I feel like that we are well positioned and mindful of affordability.
Operator: Your next question comes from the line of Aditya Gandhi with Wolfe Research.
Aditya Gandhi: Great. Maybe just starting on Texas HB 4384. I appreciate that you've rebased the '26 range higher. Can you maybe just clarify what the annual impact from the legislation is just roughly? Is it fair to assume that if we annualize the $0.10 impact from Q4 that you mentioned on last quarter's call, $0.40, is that a reasonable run rate?
Christopher Forsythe: This is Chris. So in the rebasing, we assumed the impact of House Bill 4384, and from fiscal '25 to '26 because we will have a full year impact of the House Bill 4384, that's why you're seeing that rebasing going forward. And then after that, it will begin to -- become a little bit more consistent year-over-year. So again, we factored all that in, into our 6% to 8% of the midpoint via a guidance range right now, is right around $8.25, and we will intend to grow at 6% to 8% off of that.
Aditya Gandhi: Okay. And then maybe just touching on the equity. You mentioned balanced equity and debt funding. Can you just clarify whether that sort of means 50% of that $16 billion -- roughly 50% of that $16 billion over the course of your 5-year plan? And then just could you give us a rough sense of how much equity you're assuming in 2026, and how we should think about the cadence of equity beyond 2026?
Christopher Forsythe: Right. So looking at the incremental plan over 5 years, we've got roughly $16 billion that's out there. We are very comfortable with our equity capitalization of approximately 60%. And as of September 30, we intend to keep our equity capitalization at that level. I think the strength of the balance sheet is important for financial strength to be able to withstand unexpected events supporting our customers if we need to in terms of moving our PGAs around as we pass through gas costs. So when you think about capitalization being where it is, it's roughly 50-50 split between debt and equity. And then by year, you can see generally about 50% of our annual cash needs are coming from our FFO number, which I think you have. And then you can apply by year in your modeling, 50% roughly for equity, 50% for debt.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Jefferies.
Spark Li: This is Spark on for Julien. Congrats on the strong quarter. I have -- if I can quickly come back to the HB 4384 benefits. I appreciate the color on the prepared remarks. I believe you mentioned 60 -- roughly 60% for distribution, 40% for APT. I'm just thinking, would that 60-40 split change meaningfully year-over-year just given potentially different CapEx cadence at each segment each year?
John Akers: No, we do not expect that. Again, our 5-year planning process has been the same year in and year out. Our team does a robust deep dive into the needs of that and has it well laid out year after year. So we're very confident in what we have put out there for the 5-year plan.
Spark Li: Got it. Another question on the dividend. I mean, nicely done on the dividend guide up here. Just given the durability of the HB 4384 uplift, is it fair to view this dividend guide up as a long-term guide up here?
Christopher Forsythe: I think in our prepared remarks, we mentioned that we moved the dividend 15% from '25 to '26 on an indicated basis to basically rebase that dividend in line with the rebased earnings per share guidance, and we intend to grow the dividend 6% to 8% over the next 5 years.
Operator: That concludes our question-and-answer session. I will now turn the call back over to Dan Meziere for closing remarks.
Daniel Meziere: We appreciate your interest in Atmos Energy, and thank you once again for joining us. Have a great day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining. You may now disconnect.